Operator: Welcome to the Evolution Q2 Report 2025 presentation. [Operator Instructions] Now I will hand the conference over to the speakers CEO, Martin Carlesund; and CFO, Joakim Andersson. Please go ahead.
Martin Carlesund: Thank you. Good morning, everyone, and welcome to the presentation of Evolution's report for the Second Quarter 2025. My name is Martin Carlesund, and I'm the CEO of Evolution. With me I have our CFO, Joakim Andersson. I will start with some comments on our performance as usual, and then hand over to Joakim for a closer look at our financials. After that, I will conclude with an outlook and then we will open the floor for questions. Next slide, please. So let's start with the financial and operational highlights in the quarter. The two main operational themes for the first quarter continued to impact our financial results. Firstly, we continued to win European markets in order to stay ahead of changes that we know will come to the regulatory advantage. What that means is that we effectively ring fence the markets with local regulation and ensure that our games are only available with locally-licensed operators in markets where such license exist. What started with the U.K. has now followed on more European markets affecting our revenues in the region for the short term. The impact of these measures depend on the level of channelization in markets where it's high, it has had little impact, but in markets where low channelization is, it hits -- has meant that it drops in revenue. We firmly believe that the regulation is a driver for the market, and we continue to support regulations in any way we can. This is something that we are proactively doing to ensure that we are fully prepared on the relationships. Thereby, we increased our advantage, competitive edge and a further distance between us and the competition. However, the data, the increased regulations are affecting us to somewhat higher extent year-on-year than we anticipated. Adoptions almost take time, and the environment in Europe is still a bit turbid making it difficult to provide exact forecast. The second operational challenge is the continuing cybercrime activity in Asia. We are making good progress in combating these criminal activities, and we do everything we can to make sure that we get paid for our innovation and products. In the second quarter, we are starting to see some benefits with Asia being back to growth in the quarter. More on that on the regional breakdown in a minute. For both these regions, we remain cautiously optimistic about the remainder of 2025 as we continue to evaluate the effects of these measures. So let's say a few things on the numbers. Net revenue came in at EUR 524.3 million, corresponding to year-on-year growth of 3.1%. EBITDA amounted to EUR 345.3 million, and the EBITDA margin came in at 65.9%, which is in line with our full year guidance of 66% to 68%. We do continue to believe that the second half of the year will be stronger than the first half and we keep our full year estimate as before. Our Life segment was impacted by the European and Asian development with revenue coming in at EUR 453.7 million, corresponding to growth of 3.6%. We continue to see good momentum in North America and also believe that activity in Latin America would pick up, supported by the new regulation in Brazil. RNG revenues total stood EUR 70.6 million, growing year-on- year by 0.3%. One main reason for the slow growth in RNG this quarter is the largest payout ever for us in RNG, affecting the total revenue stream. Overall, RNG has solid performance adjusted for the payout, and we still have good potential to grow in this segment. We have several milestones since we last met. We have signed a fantastic licensing agreement with Hasbro to continue to develop more games like MONOPOLY Big Baller and MONOPOLY Live. This is really customers, our innovation and dedication with this license agreement having belonged to competitor for the last two decades, we are thrilled to be able to launch more high point trademark Evolution games featuring iconic Hasbro brands. We also signed a new partnership agreement with Bally's Corporation in Rhode Island, which constitute a new landmark in our U.S. expansion. We launched our first ever studio in Asia in the Philippine. The studio marks a significant milestone in Evolution's expansion and serves the regulated Philippine market which is the first license by gaming jurisdictions in Asia. We are today launching -- actually, this day, our brand used to do in Brazil with perfect time to seize the opportunities that lies in the vast and new unregulated markets. To conclude the summary of the quarter, I would like to say that even though I'm not satisfied about financial results operationally, I'm proud of what we accomplished this quarter. We really push forward, take on our challenges and we delivered solid results. To sum things up, overall, it's a stable quarter where we really prove our outstanding ability to do business as usual even when facing challenges. Next slide, please. If we move on to our operational KPIs, consisting of headcount and the game round index. When looking at the headcount, we are almost exactly where we were at the end of the first quarter, just over 22,000 employees, corresponding to year-on- year growth of 5.2%. With [ live casino studio ] recently launched, the need to recruit remains very high. With dedicated persons in all locations to be able to serve demand and keep the Evolution trademark quality. We're also changing our resource mix, and we will see a higher degree of efficiency moving forward, and this will compress studios and also affect the number of employees as we move forward to 2025. When looking at our new studios in the Philippines and Brazil, I'm so proud that now no matter where we are in the world, the same high standards and benefits apply. We give thousands of young people, exciting and offering international and I'm proud of the employer we are. I would like to take this opportunity to emphasize that we, when building a studio, wherever it displayed have the same exceptional standard. This means that business in Colombia, Georgia and in Philadelphia, we will have the same great work environment and standard for all employees. In many markets where we entered, we set a completely new standard when it comes to work environment and facilities and that makes us very proud. Now the game rounds index can be seen as a general indicator of activity throughout our network over time for the individual quarter, it does not always correlate with the revenue development. However, as you can see for this quarter, we increased our revenues as well as the higher activity in the network. Next slide, please. Now I'll come to my absolute favorite slide and really this slide which determines the numbers on all other slides. So let's look at new game releases. We are still in the midst of our product leap years. And for 2025, we have a high ambition with 110 games planned to be released. During the quarter, we have released Super Color Game, a huge colorful splash of excitement coming into our game portfolio. It's live big dice game that prompted big wins and a nonstop action with up to 1,000x multipliers. You simply bet on your favorite color among diverse betting options, nothing short of a true success. First Person Bac Bo, sure to be one of the most spectacular dice games, a capsulating RNG-based dice game, similar to Baccarat, easy to navigate interface, cutting-edge 3D graphics and a lifelike gaming action. We also released Lightning Bac Bo, a completely new dice game with a 1,200x multiplier, dynamic dice action, continues -- it's also our last addition to the Lightning family. Among the upcoming releases, we have a highly anticipated Ice Fishing, a speed game show with a money wheel unlike anything else. The live hold will cost for multipliers fish in icy waters. It is truly something different. You might have seen it on the ICE 2025 in January. This is also the game you saw on the first slide today for the cover page. We have also Super Speed Dragon Tiger and Dragon Tiger Phoenix set to be released later this summer and beginning of the fall. On the R&D side, we released 20 new fantastic games this quarter. So to summarize, a lots happening on the product side, just as usual, and we are very excited to see how the newly released games are received. I'm so proud of all our brands who consistently break barriers in the industry and show what gaming entertainment should look like. Next slide, please. I briefly mentioned something before that I think warrants some more details. On July 1, we announced a truly groundbreaking agreement with Hasbro, a world- leading company with iconic brands, recognizable in every household. Evolution is now the exclusive global provider for monopoly and other iconic brands. This worldwide deal, which includes the U.S. covers online content for all Evolution brands, such as Live, of course, but also NetEnt, Ezugi, Red Tiger, BTG and Nolimit City. This agreement comes as a result of a very successful relationship where we have developed MONOPOLY Big Baller and MONOPOLY Live, 2 games, both on our very top of our lineup and 2 of the best-performing games in the entire industry. With these 2 games, we managed to show what we can do and make out of classic Hasbro brand. It's spectacular and it's very, very nice to have this partnership. So starting January 1, Evolution will be exclusive provider of Hasbro gaming content. And we couldn't be more excited, as I already mentioned. This is really a milestone for us. We are also excited -- all of the brands, fantastic, iconic, even if it's hard to believe, online gaming is just in the early days and with Hasbro, we will be able to forge a new chapter in the history, meanwhile, even further in the distance to our competitors. So from that exciting news, let's move on to the next slide, please. Let's look at the geographical breakdown, starting out with Europe and Asia. I would say we have a few things that stand out this quarter. Europe, as I mentioned in the introduction, our ring-fencing measures are affecting our revenues in Europe, maybe even to somewhat higher extent than we anticipated. Revenue in the second quarter amounted to EUR 180.2 million, which corresponds to a negative growth of 5% compared to the first quarter this year, primarily driven by full quarter effect of the ring-fencing. In the U.K., we continue the dialogue with the Gaming Commission, and we will let you know when there is an outcome from the review. We continue to work with optimization, the resource mix. We are making good progress and expect to see benefits in the coming quarters. We're facing continued challenges in Asia, although we are much better positioned to combat these issues now than we have ever been as our efforts are yielding effects. Asia came in at a good 4% growth quarter-on-quarter and revenue amounted to EUR 209.1 million. In Asia, we have also launched our first ever studio in Philippines, serving the regulated Philippine market, which is the first licensed iGaming jurisdiction in Asia. This is really a huge accomplishment and milestone growing our Asian footprint. Next slide. As for North America, it continues on growth trajectory and keeps its fine momentum. The region is up almost 23% year- on-year with a total revenue of EUR 73.9 million and performing very well in the Live segment. North America is healthy, regulated with clear rules, making businesses a little more predictable and stable. It is also important to keep in mind that live casino games are still in its infancy in the region that has been characterized by land-based and online RNG. But we now see waking up and taking live casinos to heart. With the new agreement with Bally in Rhode Island, we stand to increase our footprint in the region even more. We're also progressing well with the Galaxy acquisition, and we expect to close the transaction during the second half of 2025. In Latin America, we see modest growth for the quarter coming in at 3% year-on-year with a revenue of EUR 37.6 million. There is vast potential in the region, especially in the Brazilian market where the adoption to a regulated environment takes time. That's normal, and we remain confident that when the regulation set in and the new playbook is fully understood, activity will pick up. And one of the best news for the company and definitely for this region is that today, we are opening our brand-new studio in Sao Paulo in Brazil. This studio comes at the perfect time to capture the new market. Other regions mostly consist of Africa. We see 20% year-on-year growth for the quarter and the revenue amounted to EUR 23.4 million. I believe that Africa has great potential in the coming years, and we will work as hard as ever to continuously expand the market. And on that positive note, I will hand over to Joakim for a closer look at our financials. Next slide, please.
Joakim Andersson: Thank you, Martin, and good morning. Okay. So let's now drill down into the numbers for a few minutes. Starting with a graph showing our financial development over time on Page 8. As you have seen and heard, we have delivered net revenues of EUR 524.3 million this quarter, which is a slight increase from last quarter and corresponds to growth of 3.1% year-on-year. Yet again, we see some currency headwinds. And if we would adjust to that, we would have seen a growth of approximately 8.8%. Our EBITDA was EUR 345.3 million this quarter, which corresponds to a margin of 65.9%. Let's go to the next slide. And here, we have our profit and loss statement. And Martin already covered the revenue breakdown on his first slide, so I will not repeat that. But on the cost side we saw our total operating expenses grow by 10% year-over-year to EUR 217.9 million. And even if this still is growing at a higher pace than the revenue, we are consciously and constantly continuing to seek optimal cost-efficient solutions across the company, not only in relation to optimizing the resource mix. And as a result, we are almost flat on total OpEx quarter-on-quarter. The financial items were negative EUR 11.9 million this quarter, primarily driven by revaluation of bank balances. Further down in the P&L, tax was EUR 46.2 million in the quarter with a tax rate of 15.7%. And all in all, if we summarize, we had a net profit for the period of EUR 248.3 million and earnings per share of EUR 1.22. Let's move on to the next slide. And I'm now on Page 10, where we have an overview of our operating cash flow and capital expenditures. Let's start by looking at the graph to the right, which shows the development of our CapEx. Total CapEx in the period amounted to EUR 33 million. And with this pace of investments from the first half of the year, we believe that our full year expectations of EUR 140 million still is very valid. Our operating cash flow after investments amounted to EUR 192.3 million in the quarter. In Q2, we typically see the weakest cash flow due to seasonal tax payments. But in this quarter, we also had an unusually high buildup of working capital due to some timing effects of invoicing and payments. We do not see anything worrying in this, and we expect normalization in the next quarter. And then finally for me, some brief comments on our financial position on the next page. On this page, you will find a summary of the balance sheet for the second quarter and compared to what it looked like at the end of last year. The main highlights on this page probably relates to the cash position, where we, after tax and dividend payments, ended the quarter with a cash balance of EUR 505.3 million. Our total equity amounts to EUR 3.7 billion. And during the second quarter, on the back of a renewed mandate from the general meeting, we continued buying back own shares in the market and the total amount of EUR 65.4 million was used to buy back 1.1 million shares. For the first half of the year, we have used EUR 219.5 million to buy back 3.2 million shares. And if we add the EUR 572.5 million in cash dividend, a total amount of almost EUR 800 million has been returned to our shareholders so far this year. With that, I will hand it back to Martin for his closing remarks.
Martin Carlesund: Thank you, Joakim. So let's summarize the presentation and then move to Q&A. Financially, we have been off to a slow start this year due to the ongoing continued issues in Asia and self-imposed proactive stricter ring-fencing of regulated markets in Europe. As a consequence, our revenue growth is not reflecting our potential and where it's supposed to be. However, even though the quarter is not financially brilliant, it is on a total level in line with where we foresaw that we would be when initiating measures to address our challenges. Given all the outside noise and circumstances, we actually have a solid quarter and a quarter that saw a lot of events taking place, signaling that we continue to push forward and build our future. 2025 will be a great year for Evolution, even if not financially our best, but a year where we lay the foundation necessary to keep our growth trajectory going forward. This year will increase distance to our competitors, both in terms of readiness and in terms of products. Our pipeline is the strongest yet. We keep on breaking records with the game releases we have. As a last remark, I want to say that 2025 is refreshing, and we are as hungry as we were 20 years ago. We remain committed and dedicated raising the bar for ourselves, for our colleagues and for our industry. With that, we open up for questions.
Operator: [Operator Instructions] The next question comes from Martin Arnold from DNB Carnegie.
Unidentified Analyst: I want to start with your comments about improvements in the second half. And if we could go through a little bit on sort of the drivers behind that. Could we start there?
Martin Carlesund: We have a good improvement from last quarter. We're cautiously, very cautiously optimistic. We are more or less in our range when it comes to the guidance, and we believe a little bit stronger second half.
Unidentified Analyst: And how big part will the new studios be, Martin, you opened in the Philippines recently and today in Brazil.
Martin Carlesund: The Philippines and the Brazilian studio is, of course, in the total -- it's super good. We're really proud of that we launched them. The effect of them into the figures in next quarter or today or tomorrow is, of course, not significant. They will contribute over time.
Unidentified Analyst: So it's a slow start or a small start and then you build it up as you've done in the other studios previously?
Martin Carlesund: It's the same as any other studio, yes.
Unidentified Analyst: Yes. Yes. And on your countermeasures versus the cyberattacks, how much of a control do you think that you have now? Do you keep your statement that you expect continued gradual improvements from the countermeasurements throughout the year in Asia?
Martin Carlesund: I will answer that now, but we also need to let other ask questions. So we don't take all time. But yes, we are progressing with the countermeasures. We are really -- we are happy, and we are in a better shape now than we were before. We look forward to continue all of that. We're in the absolute forefront of what we can do technically. And we are, as I said, very cautiously optimistic for the second half.
Operator: The next question comes from Oscar Ronnkvist from ABG Sundal Collier.
Oscar Ronnkvist: Just wanted to continue on Asia. So we saw, I think, it was 4% sequential growth there. You've previously talked about that the underlying growth has progressed solidly, while you have seen cyberattacks sort of offsetting that for a flattish development on Asia. So just on the puts and takes in Asia, the 4% sequential growth we see now from Q1, is that representing in your view, the underlying development? Or do you still see increased pressure from the cyberattacks that still weighs on the quarter-over-quarter development?
Martin Carlesund: It's a good question. It's a very difficult question to answer. I would rather say that we are happy with the traction that we have had and turned Asia into a little growth now in the quarter. And we are, as I stated, looking forward to the coming quarters, even though we are cautious. It's very hard to determine how the growth are in total and comparing to that, but we see some traction in the measures that we are taking.
Oscar Ronnkvist: Got it. And just to follow up, if you see the only sort of the negative part of the Asia cyberattacks, given your countermeasures, the technical ones, do you see now that the people who are stealing your streams, is that becoming lesser and lesser now? Or is that still sort of a similar problem and we just see the underlying growth shining through?
Martin Carlesund: It's -- when we take measures, we take away a little bit of revenue that is good revenue and a little bit of revenue that is not -- that is criminal or stealing. So it's very hard to -- underlying -- not underlying. We see traction of the actions that we are taking right now. We see a little bit of -- we see growth in the region, and we're happy with that. And we are focusing day-to-day to continue that trajectory, and we are cautiously, very cautiously optimistic.
Oscar Ronnkvist: Perfect. Just a final small one, but the RNG growth that, I mean, effectively 0. You said that it was impacted by a large RNG payout in the quarter and maybe I cannot quantify it perfectly, but is it sort of on track with the previous quarters if we exclude the payout?
Martin Carlesund: Good question. I would say that we are -- it's an okay quarter, not a good quarter even if that wouldn't have happened, but it's an okay quarter. We are on track where we are, where we should be.
Operator: The next question comes from Ed Young from Morgan Stanley.
Edward Young: My first question is on first question is on Europe. It sounded from your commentary, Martin, like that was sequentially a little bit weaker than you expected maybe from the ring-fencing. Can you perhaps give a little bit of color on if there was any particular region or any particular aspect of that, that was a surprise or if it was me misreading it, and it was the underlying picture in Europe that was a little bit weaker?
Martin Carlesund: It's probably a lot of effects. But we have 2 months out of 3 of the effect of ring-fencing in the Q1. You know the figures there. And now we saw a little bit stronger effect, and there's a lot of countries and a lot of things happening in Europe. And the effect is a little bit stronger than what we had anticipated. But it's also very hard to know exactly where you're going to end up.
Edward Young: Fair enough. And secondly, your commentary about efficiencies there, and I guess this is baked into your H2 margin expectations, but you spoke about a couple of things, one of which was a continued drive towards efficiency, but you also mentioned a couple of times changing resource mix. Is that regional weighting of the employee bases? Or is there anything else that you're particularly driving out with that comment?
Martin Carlesund: The resource mix is regional weighting -- weighing where we put our resource and where we have them. And after the situation where we downscale a little bit in Georgia, as we know, last year, we have had a not so beneficial resource mix. And now when we build out and we add other studios, which is better and more cost efficient, we will adjust that.
Edward Young: Perfect. And then finally, just quickly on the working capital, you said you'll sort of get it back next quarter. Was there anything that drove it particularly? It's perhaps a little bit surprising to see the scale of it in Q2. Was there any, again, particular customer or mix effect behind that? Or what drove that in Q2?
Joakim Andersson: No. Ed, it's Joachim. No, nothing particular. I mean it's -- I know from experience that the summer months can also be a little bit tricky. You don't get -- and we don't have -- customers don't have the team there in place to pay. So I mean it can shift a little bit. We saw probably a little bit larger effect of that this quarter than we expected. But when we dig into the numbers, it's not alarming, even though if the number is a little bit bigger than expected. So we think it's a timing effect and the calendar date kind of end of month date and stuff like that, nothing alarming.
Operator: The next question comes from Pravin Gondhale from Barclays.
Pravin Gondhale: Firstly, on the Asia, you talked about the measures at length. But I understand there are some internal measures, which are technology enforcements or enhancements and then there are some external legal measures when it comes to your countermeasures. Where are we on that curve of development of internal measures? Are you -- you think you have done whatever needed internally on the technology front and now it's only about external. Where are we on that curve when we think about the countermeasures there?
Martin Carlesund: I think that we -- I don't know external, internal, but there is, of course, one portion of motivation of your customers to keep the network clean and that's sort of in some extent, external. We are focusing on that, but we're also, of course, focusing on the internal countermeasures, technical things that we can do to protect our innovations and fantastic products. And we are continuously working and focusing on the internal, and we expect to continue doing that, maybe even for a very long time period. I don't see an end to it. I see that we will continuously need to develop that. And we have a little bit of traction on that now and happy with the results being cautiously optimistic now for the rest of the year.
Pravin Gondhale: And then on UKGC review, do you have any visibility on the expected timeline for the conclusion of the review?
Martin Carlesund: No, I don't have the visibility on the timeline. It's in the hands of the regulator to the most part. I would say that we in Amsterdam do whatever we can in a fast measure, but we don't have -- I can't guide you on the timeline, unfortunately.
Operator: The next question comes from Estelle Weingrod from JPM.
Estelle Weingrod: I've got 3 questions, please. The first one, maybe on the visibility around Asia. What is the underlying growth one can expect medium term? I mean, should we think about more like a mid- to high single-digit growth going forward versus the double-digit percentage we had in the past? Second question on margin guidance for the full year, it implies a material improvement in H2. I just wanted to understand what are the key levers to achieve that? And the last question is just on FX. Just wanted to understand better the biggest drivers there as it seems that estimates were going for a slightly softer adverse impact here.
Martin Carlesund: Okay. We do not unfortunately guide on growth for any region. And given the situation, the only comment I made so far is that we're cautiously optimistic and happy with the quarter when it comes to growth in Asia. When it comes to the margin, we withhold our margin guidance of 66% to 68%. We are in line with the guidance, I would say, in Q2, 65.9%, more or less in the range. And we are a little bit shy of the guidance in Q1, which was down 65.4%. Correct me if I'm wrong there, Joakim. But -- so that gives a little bit stronger second half of the year. Material improvement, I don't know. It's just that we would be in the range. And to get into the range, we need a little bit stronger next year -- next half year. The FX effect is blended. We put that out as a headwind of 8.8%, and that's a mixed bag of a lot of effects. But naturally, I mean, if the dollar goes down, our revenue converted to euro for North America goes down. So that affects us. And there are a couple of those effects in the group.
Operator: The next question comes from Raymond Ke from Nordea.
Raymond Ke: A question also on the sort of cyberattacks in Asia. I'll try to phrase it in a different way. It sounds like your planned sort of measures are being implemented, and it's more a matter of just continuously dealing with these cyber attacks. Is that a way of understanding it? Or do you still see upside from implementing measures themselves, if you know what I mean?
Martin Carlesund: This situation that we have now is it's not new. It's not only us. It's been going on for years, for example, in sports, where you want to see Champions League and you go into site and you pay, I don't know, $15 for to EUR 1. And then you watch the Champions League football game. And it's actually stolen. That has been everywhere. And to actually protect your intellectual property, your innovation and your Champions League stream that you bought for a lot of money, you need to continuously do a lot of technical measures. And as the Internet evolves, you need to do that. And we were caught a little bit off guard with the technology that they were using to see our stream. And now we are gaining traction with the actions we take and protect it. And I think that we are in the absolute forefront of Internet right now to what is possible. But I also think that we need to continue that work to a longer time period going forward.
Raymond Ke: That was really helpful. Secondly, on just the Galaxy acquisition expected to close here in H2. Do you see any sort of regulatory hurdles in conjunction with that? I'm thinking specifically about how maybe U.S. regulators view online versus land-based casinos.
Martin Carlesund: I think that they actually view it exactly the same. Usually, online or land-based is just 2 different parts of the same license. So where we have a license, we already have a license, it doesn't matter really if it's online or land-based to that extent. There is a lot of states, a lot of licenses, a lot of administration, lots of information, and it's progressing well. We're actually doing well. But it also depends on the timelines and the meetings in the regulators when they have those meetings and what we're supposed to do. So we're doing well, and we look forward to being able to close it in the second half.
Raymond Ke: Perfect. Then a third and final one, if I may. Just a quick one on net financials at minus EUR 12 million, it sort of stands out compared to other quarters there. Is there anything one-off in nature in that, that we should be mindful of?
Joakim Andersson: Yes. I mean it's a quarter where we have had obviously the buybacks continuing. We have also had the dividends, and we took your money up and converted it into SEK. So it's been a fairly material bank balances in SEK that's been revalued.
Operator: The next question comes from Jamie Bass from Citi.
James Bass: Just 2 questions from me, please. First off is going back on that sort of expectation for stronger performance in H2. Is that mainly based on sort of a sequential improvement in Asia? Or are there other regions that you think can also improve as we go through the year? And then second question is on the geo blocking. So we've had a bit of confusion on this side. So just to completely clear it up, firstly, excluding the U.K., is this all proactive measures or any of these in other countries outside the U.K. reactive? And also, what proportion of regulated European markets have you now implemented geoblocking?
Martin Carlesund: Okay. The improvement that we see in the next quarter relating to the margin, as I stated, we believe that we will be within our guidance, 66% to 68%. We are a little shy of that mainly due to the fact of Q1, and we look forward to gain that traction. That traction to get us into that guidance, which is then just a 10 percentage point in Q2 and a little bit more. There is a mixture of that. We will work with the resource mix. We will work with -- we look forward to the flattening out the effect of the ring-fencing and we're cautiously optimistic in Asia, and we look forward to Brazil, and we look forward to a lot of things. And that will come down to a little bit stronger second half. Then -- what was the second question, sorry, about that.
Joakim Andersson: Geoblocking, how much in Europe.
Martin Carlesund: Yes. With the geoblocking, it's -- I mean, you can look at what happened in Q1. And then you look at the -- that was only 2 months and now we have a full quarter and then you get the figure. And then you see that we are a little bit more than that. And we don't guide on each and every market, but we are working hard to see that we are in a position proactively on the European market, and that is a little bit more expensive than what we anticipated. And then there was third question.
Joakim Andersson: Did you have any more questions? Maybe we forgot.
Operator: The next question comes from Andrew Tam from Rothschild & Company, Redburn.
Andrew Tam: Most of mine have been answered, but just one for me. Can you confirm or deny whether Evolution makes available any of its streams -- video streams that parties outside of its B2C operator customers and...
Martin Carlesund: I didn't miss that. Sorry. What did you -- sorry, tell me again. Ask again.
Andrew Tam: The question is, do you make your video stream available to any third parties outside of your B2C operators? Yes or no.
Martin Carlesund: No. We work only with licensed operators and aggregators.
Operator: The next question comes from Rasmus Engberg from Kepler Cheuvreux.
Rasmus Engberg: I had just 2 questions on -- firstly, in the second quarter, there is a sequential improvement. Was this continuously throughout the quarter? Or has it anything to do with Easter? Or how would you characterize it?
Martin Carlesund: There are, of course, some seasonality effects in online gaming. So I would say that actually, June and the summer months are a little bit weaker than, for example, November, December. So that comes into play. But there is no -- we don't guide on the monthly. There is nothing to point out there.
Rasmus Engberg: Okay. And the second question, with regards to the second half of the year, should we think of it as a gradual improvement in the margin? Or how should we think about it?
Martin Carlesund: I was almost making a joke, you mean the 0.1% above 66%. I didn't do that. Sorry about that. But we are cautiously optimistic. We see a lot of things that we are doing right now to get into our guidance. And then that's where we are. I don't see any bumps or gradually, we will get there.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Martin Carlesund: Okay. Thank you, everybody, for all of your questions and for listening. And I look forward to see you soon again, and have a nice day.
Operator: The host has ended this call. Goodbye.